Hong Sung Han: Good afternoon. I am Hong Sung Han, Head of IR at Woori Financial Group. Let me first begin by thanking everyone for taking time to participate in this earnings call for Woori Financial Group. On today's call, we have Group CFO, Lee Sung-Wook; Group CDO, Ouk Il Jin; and Group CRO, Park Jang-Geun. On today's call, the Group CFO, Lee Sung-Wook, will give a presentation on the earnings performance, after which we will have a Q&A session. Please note that the earnings call is being conducted with simultaneous interpretation for our overseas investors. Now let us start our presentation on Woori Financial Group's earnings for the first quarter of 2025.
Lee Sung-Wook : Good afternoon. This is Lee Sung-Wook, the CFO of Woori Financial Group. Let me go over the first quarter performance for 2025. Please turn to Page 3 of the presentation material that has been disclosed on our website. First, let me talk about net income. In the first quarter of 2025, Woori Financial Group's net income was KRW 615.6 billion. Amid uncertainties in Korea and abroad, leading to volatility in the financial markets, we were still able to prove our solid revenue-generating capabilities on the top line. However, on the cost side, due to conservative provisioning due to concerns about future downturns in the economy and non-regular items such as costs related to the ERP conducted at the beginning of the year and investments for future growth resulted in net income coming in below market expectations. When excluding these one-off costs, the group's fundamentals are still solid, and the group's ROE is 9.5%. Next, let me discuss the group's net operating revenue. First quarter net operating revenue increased 2.4% Y-o-Y and 6.6% quarter-over-quarter to KRW 2,609.5 billion. To optimize our portfolio, the group has been rebalancing assets and engaging in efforts to improving profitability from last year, which has resulted in solid interest income. Efforts to strengthen noninterest businesses and diversify revenue sources across all bank and nonbank affiliates within the group resulted in stable growth in noninterest income driven by core fee income. Next, let me go over the credit cost. Credit cost was KRW 435.5 billion, representing a Y-o-Y increase of 18.8%. Issues such as [Indiscernible] and uncertainties about the Korean economy created a challenging internal/external business environment, which has led to higher delinquency and NPL ratios. However, we are monitoring the market more closely and have been taking preemptive measures such as actively managing high risk and potential distressed assets to manage credit cost at a stable level. The credit cost ratio was 0.46% but when excluding one-off additional provisions of KRW 63 billion, the normal credit cost ratio is 0.39%. Next, let me discuss the capital ratios and also quarterly dividends. As of the March end, the group's preliminary CET1 ratio is 12.42%, which is a 30 basis point increase from the end of last year. Amid an unfavorable business environment such as a week 1, our company-wide efforts from last year to rebalance assets to actively manage our risk-weighted assets has improved our capital ratio. This is an example of the strong commitment that the group has to achieve a 12.5% CET1 ratio within the year, and we are focusing all group capabilities to achieve this goal. In addition, at the BOD today, the Board decided on a Q1 dividend of KRW 200 per share, which represents an 11% increase on a Y-o-Y basis. In addition, the dividend record date will be May 10 as notified during the group's quarterly dividend procedures adopted in the General Shareholders' Meeting. Next, let me delve into more detail about our earnings by area. Please turn to Page 4. First, let me go over our net operating revenue and NIM. The group's Q1 net operating revenue was KRW 2,609.5 billion, up by 6.6% quarter-over-quarter. Interest income was similar to that of the previous quarter at KRW 252 billion. The bank's quarter 1 NIM was 1.44% and the group's NIM, including the credit card business was 1.70%, which represents an increase of 4 basis points from the previous quarter. The BOK cut rates last February and market rate spread leading to a decrease in funding cost as cost on time deposits stabilized and core deposits grew. This improved our margins. In addition, we also believe that the U.S. reciprocal tariffs are expected to create trade disputes and a downturn in the economy, and we believe the current cut rate cycle will continue, and we are trying to have more asset management to put out an efforts to grow our core deposits to actively defend any downward pressure on NIM. Next, let me discuss the bank's loan portfolio. As of March end, Woori Banks totaled KRW 330 trillion, showing a slight 1% decrease versus the end of the year. For corporate loans, large corporates continue to have strong demand for credit and the portfolio improved, focused on high-quality SMEs resulting in a book of 183%. On the retail loans, the government's household debt management policy continued and retail loans totaled KRW 144 trillion, similar to the end of last year. Going forward, in line with the economic development, we will diligently fulfill its role and focus on new growth industries and secured loans backed by guaranteed certificates. In addition, for retail loans, we will focus on real demand with the scope within our business plan and achieve growth within nominal GDP growth. Recognizing uncertainties in Korea and abroad, we will put top priority on asset soundness and capital adequacy to achieve profitable growth. Next is the net interest income. Net interest income in first quarter was KRW 357.5 billion, an increase of 2% Y-o-Y. In particular, core fee income posted KRW 511.4 billion, driven by the growth of the bank's wealth management efforts and the efforts to diversify. Core fee income surpassed KRW 500 billion mark, again showing stable trends. As we expect volatility in the markets to continue, we will continue efforts to increase our noninterest income by diversifying our nonbank business and maximizing synergies between banks and nonbank operations. Next, let us move on to expenses. Please look at Page 5. This is the group's SG&A. In the first quarter, the SG&A was KRW 1,306.2 billion, which was an increase of 26.6% Y-o-Y and the cost-income ratio was 43.6%. The increase was driven by one-off factors, including Woori Bank's early retirement program cost of KRW 169 billion, which took place at the beginning of the year and costs related to increasing the sales capabilities of the securities arm launched last year and investments in digital and IT, such as UN Banking and Woori Securities Mobile Trading System. Going forward, the group will continue to actively support investments for future growth, such as strengthening digital and IT competitiveness and enhancing the brand value of the group. But at the same time, it will cut back on general expenses that are not related to sales and achieve cost efficiencies across the organization, such as optimizing resources and channel. Next is credit cost and asset quality. In the first quarter of 2025, the group's credit cost amounted to KRW 435.5 billion, down 5.8% Q-o-Q and up 18.8% year-on-year. This quarter, the group completed provisioning for the full exposure to issues currently in the spotlight, including those to debtors who have recently filed for corporate rehabilitation by allocating approximately KRW 39 billion in additional provisions, and we also booked preemptive provisions of KRW 24 billion during the review of completion guarantee trust projects, resulting in approximately KRW 63 billion in one-off credit costs. Excluding these one-off factors, the group's credit cost ratio is being stably managed at around 0.39%. Although market interest rates are on a downward trend, concerns over economic recession are intensifying due to various internal and external issues, so asset quality concerns are expected to persist for some time. Woori Financial Group is maintaining a strong ratio of prime corporate loan assets at 86% through enhanced risk management capabilities. Furthermore, the ratio of loan loss and regulatory reserves to total loans is also being managed at an elevated 1.6% level, ensuring sufficient loss absorption capacity. As for real estate PF exposure, it has decreased by approximately KRW 200 billion from the previous quarter to KRW 3.3 trillion excluding guarantees, it stands at approximately KRW 2 trillion, which is 0.5% of total loans and thanks to our preemptive management efforts, the additional provision burden remains limited. Woori Financial Group will remain fully prepared for potential impacts from prolonged high exchange rates and U.S. reciprocal tariff policies. We will proactively inspect risk factors across the group, focusing on managing vulnerable areas and closely monitor key market variables like interest rates and exchange rates responding actively to changes. Moving on, I will elaborate on the capital adequacy and shareholder return policies. Please refer to Page 6 of the materials. As of the end of March 2025, the group's preliminary CET1 ratio stands at 12.42%, improved by approximately 30 basis points from 12.13% at the end of the previous year. Despite the challenging financial environment, the group significantly improved its capital ratio through comprehensive measures, including solid profit growth, optimal portfolio composition, taking into account risk-weighted assets and thorough management of exchange rate-sensitive assets such as foreign currency holdings and currency derivatives. With this, Woori Financial Group is approaching its goal of achieving a 12.5% CET1 ratio ahead of schedule in 2025, making progress not only in enhancing the group's loss absorption capacity, but also in establishing a stable foundation for shareholder returns. Meanwhile, today, Woori Financial Group's Board of Directors resolved a quarterly dividend of KRW 200 per share in line with the company's quarterly dividend policy of paying out 50% of the previous year's annual dividend evenly across each quarter and the record date under our enhanced quarterly dividend procedure is set for May 10. The group also announced at the beginning of the year a share buyback and cancellation program totaling KRW 150 billion, an increase of 10% compared to the previous year and is currently in the process of executing the buyback. Going forward, the group will continue to faithfully implement its shareholder return policy based on its -- on the CET1 ratio and do its utmost to fulfill its commitments to the market. Let's move on to Page 7. To prepare for the large-scale and prolonged impact of macroeconomic uncertainty and market volatility arising from recent developments such as the imposition of reciprocal tariffs by the U.S., Woori Financial Group has formed a group-wide TFT. Through this task force, we aim to respond swiftly to market conditions and ensure thorough risk management. Please refer to the materials on Page 7. Woori Financial will conduct in depth analysis of tariff impacts by industry and sector as well as overall market conditions. And based on this, we'll continue to carry out asset rebalancing in response to changes in the financial environment. We will restructure our portfolio to focus on high-quality assets and emerging growth industries while reducing low margin or potentially distressed loans to improve both profitability and asset soundness. In addition, the group is operating a group level of reciprocal tariffs impact support TFT, providing customized support to companies affected by tariffs and preparing support measures for small businesses vulnerable to high exchange rates and economic downturns. By stabilizing the financial market and protecting customers, we aim to minimize the shocks from reciprocal tariffs. With the possibility of prolonged high exchange rates and market volatility in mind, we will strengthen our foreign currency liquidity management and enhance credit risk controls for affected industries and high-risk assets to actively respond to economic downturns. We will especially maintain constant monitoring of risk by country where the group operates to prevent overseas shocks from spilling over into domestic markets. Regarding capital ratios, we will focus on improving RWA vulnerabilities through asset rebalancing and strengthen our management of exchange rate sensitive assets by reducing exposure to currency derivatives and overseas FRMS. Alongside asset rebalancing and risk management to maintain a solid financial structure, Woori Financial Group also places great importance on business diversification to provide profit growth and improve stability. Woori Investment Securities obtained its official brokerage license in March and launched its MTS platform, completing preparations for full-scale operations. Furthermore, the relocation of all IB units within the group to Yeouido will further boost synergy. In terms of entering the insurance business, which has drawn significant investor attention, we submitted an application for subsidiary acquisition approval this past January, and it is currently under review by the Financial Services Commission. Upon completion of the acquisition, although the final financial impact may vary, we expect minimal effect on the group's capital ratio and anticipate annual profit increases of KRW 300 billion to KRW 400 billion and approximately a 1 percentage point improvement in ROE. Through these comprehensive response plans, Woori Financial Group will faithfully fulfill its core financial role, thereby contributing to market stabilization and ensuring strong customer protection. We will also continue to enhance our CET1 ratio to further strengthen the group's loss absorption capacity and establish a solid foundation for stable shareholder returns. This quarter, despite internal and external uncertainties, Woori Financial Group has demonstrated solid earnings capacity and stable risk management capabilities. We will actively respond to the challenging financial environment, including interest rates, exchange rates and the real economy by further focusing on the -- on managing our capital ratio and enhancing long-term corporate value and in addition, we will take the lead in supporting struggling businesses fulfilling our social responsibility as a financial group. And this concludes Woori Financial Group's 2025 Q1 earnings presentation.
A - Hong Sung Han : [Operator Instructions] The first question will be from SK Securities, Seol Yong Jin.
Seol Yong Jin: I would like to ask you some questions about your capital policy. So if you look at the situation right now, of course, you do have a license for the securities business, and you also said that you are going to continue to expand this business. So in terms of your RWA allocation and capital allocation, I actually do have some concerns. So on the bank side, I do think that there are continuous asset rebalancing efforts. And as a result of that, your capital ratio is declining. So between the banks and nonbanks, you do need to have balanced growth. But in terms of your capital allocation policy, what would be the details of that going forward in terms of strategy?
Hong Sung Han: Yes. Thank you for your question. And if you let us prepare for a few seconds. Yes. Thank you for your question. Right now, as you have just mentioned, right now, the high exchange rate is continuously something that is continuing. So of course, across the bank and nonbanks, we continue to engage on asset rebalancing. So on the bank side, that means that for lower margin assets and also for possible distressed assets or if there is a downturn in the economy, any assets that could possibly become insolvent is something that we want to preemptively act upon to try to decrease. And going forward, we want to focus on growth potential -- high-growth potential company so that we can improve our overall capital ratio. So particularly on the nonbank side, on the capital company and also on the nonbank-related credit card business, right now on the RWA, we try to increase the areas in which there's more contribution and decrease on the ones that are less. Well, as a result of that, we are focusing on achieving our capital target. And for the securities arm, we actually started on August 1. And right now, we have received licenses for most business areas. So as a result of that, for the risk assets, we are investing. And of course, for the risk weight allocation that we have, we want to focus on the securities side. So whether it be on the bank side or the nonbank other securities arms, we want to decrease that, and we want to increase the securities presence, our market share and continue our marketing activities. So with regards to our capital, we are trying to focus it more on the securities side to grow that business. And between the bank and securities arm and other affiliates that we have, we want to across the board, reach the 12.5% CET1 ratio target that we have. So that would be the efforts there. We'll receive the next question. The next question is from Baek Doosan from Korea Investment & Securities.
Baek Doosan: Yes, I'm Baek Doosan from KIS. I do have a question with regard to the digital business. So starting from last year, you had UN Banking and Securities MTS and in various areas, you have been executing various investments. And with regard to that, I would like to understand the performance of these investments, whether it be MAU or transaction volume. So some information on that. And what is your goal and target going forward? If you can also share with us your plans?
Unidentified Company Representative: Yes. Thank you very much for that question. Please bear with us for just a moment. Yes, I'm [Indiscernible]. Last year, we've launched the new loan banking, and we've opened our super app of the group. And as of the end of last year, the MAU was 8.5 million, and we want to bring this up to 9 million by this year. And also a key target that we have is that through the super app, we want to enable universal banking services across the group to increase the number of subscriber members. And currently, card and within the first half, the securities arm will also join the super app. And through this comprehensive platform, we want to continue on to attract new customers. And it's been just a couple of months since the kickoff, so we cannot say for sure. However, we can say that new customers have been coming in through this comprehensive platform. And not only in terms of client acquisition, but also through profitability, we are going to also launch financial products via this comprehensive platform within the year.
Hong Sung Han: The next question will come from Mirae Asset Securities. It will be Jeong Tae Joon.
Jeong Tae Joon: Hello from Mira Asset Securities. Can you hear me well? Yes. This is Jeong Tae Joon. I would like to ask some questions about your capital ratio. Before you talked about -- if you acquire the life insurers, then I do think that you try to minimize the impact on your capital ratio and increase your profits. If you look at the recent situation, it does seem to be that the capital ratios for the life insurance are decreasing. So I do think that the impact that you foresee may be larger than expected. So in terms of your impact on the capital ratio side, how much do you actually see from the acquisition of the life insurance arm?
Hong Sung Han: So thank you for your question. And for the answer, if we can prepare for a second. Yes. On the capital ratio side and the impact that we see, if we look at as of now in terms of the acquisition timing and in terms of the asset and liability valuation has to be finalized for us to go through. So as of now, it would be difficult to give you an accurate decision, but we don't believe that there will be a large impact. Right now, if you look at the investment limits that we have, and look at other insurers disclosed financials, we don't believe that there will be a large impact. So we're basing this upon the financials that we have available already. And going forward, in terms of the discount rate decreasing or any other issues, of course, that could have some implications, but that has not been finalized yet. So as a result, to minimize the impact as much as possible in the past, we looked at the rate cuts that took place and the stronger regulations. So with regards to the capital adequacy and solvency management at the insurance company level, this is something that we are well aware of. And it's difficult because we're still in the approval process. But once it is included and acquired, then on both sides, of course, the capital ratios will be managed at a very prudent manner. So we are going to grow them on a very strong base. And on the K-ICS ratio and other financial soundness metrics, that would be our first priority to make it -- ensure that we grow on a stable footing. So whether it be at the group level or the company level, we try to minimize the capital burden that we will have, and that will be the overall direction in which we will pursue this business. We'll move on to the next question. The next question will be by Kim Do Ha from Hanwha Investment & Securities.
Kim Do Ha: I have two questions. The first question has to do with the performance, the other RWA. So with regard to the holding company, the group, if we look at the credit cost ratio, although we do understand that the proportion of the bank is high, overall, in absolute amount, it's not -- in terms -- relatively, the level is quite higher than other peers and other banks. So in the late 2010 and during the COVID years, that wasn't the case. However, starting from 2 years back and last year, I can see that compared to your peers, the credit cost ratio seems to be higher. So with regard to the CCR, what is the awareness within the group? And based on that awareness, what kind of improvement plans or measures do you have in mind? And I think that, that would help us understand future performance. And with regard to RWA, you can see that by KRW 10 by [Indiscernible] or could be by increase of RWA. So could you give us an update with regard to any changes, especially considering ForEx fluctuations?
Hong Sung Han: Yes. Thank you very much for the question. Please wait for a moment. Yes, with regard to RWA and sensitivity to exchange rates. So with regard to exchange rate sensitivity, there are 2 aspects. So in the case of risk assets, it, of course, will increase. And also in terms of the capital that's invested overseas, we do have some changes in the foreign translation. So it actually works the other way. And depending on the timing, it will differ. And as of the end of last year, we've seen 1.6 bp around when it comes to risk assets. And this 1.6 bps may change. It doesn't remain constant. So the current impact is about 1.6 bps by 10, and that is all.
Park Jang-Geun: I am the CRO, Park Jang-Geun. So if we exclude our one-off costs, credit cost is at 39 bps, and it's at a stable level. But as you've mentioned, compared to the past, it does seem higher than usual. And as was already mentioned, we have to do with the one-off factors. So we have debtors for corporate rehabilitation, including Home Plus and additional provisioning. And also, we've been -- and we haven't been active in the write-off sphere. So that's why that has had an impact. And in the case of the CCR for 2025, of course, it's before the interest rate impact is reflected, we believe that still there will be some continued insolvencies that will have an impact. And with regard to the completion guarantee projects and with the low growth situations, we believe that the CCR will be maintained at similar levels as what we see right now. But as I have already mentioned, asset rebalancing, in other words, focusing on low-risk prime assets, the virtuous cycle of asset rebalancing once we do complete that, we believe that in real estate PF, we have an abundant buffer in terms of provisioning. So with regard to this credit cost management with our active measures, we think that in the second half, it's going to improve. So the credit cost ratio of 2025 would probably be in the early mid-end of 40 bps.
Hong Sung Han: So the next question will come from Daishin Securities. It will be Park Hye-jin.
Park Hye-jin: I do have two questions about your securities business. One is for Woori's Investment Securities. You did receive a license for securities trading. And I do think that you might start your ID business. So I do think that your risk-weighted assets is something that you will have to look at. So in the case of your Woori Investment Securities, how are you going to engage upon your ID business? And if you want to be aggressive in that area, we do think that there will have to be some more strategies that you engage upon. So what would that be is the question?
Lee Sung-Wook: Yes. Thank you for your question. And maybe let me have some time to answer. Yes, maybe I can answer your question. This is the CFO, Lee Sung-Wook. So for Woori Investment Securities right now and to talk about the strategy that we have for that business. So if you look at the current situation, this company is actually very balanced in terms of its IB presence and digital. So we do want to strengthen its fundamental competitiveness. So IB and sales trading is something that we want to create an organization for us and continue to expand going forward. So we are going to also utilize the bank retail network that we have to create more synergies with the group. And then by establishing MTS services, we are going to become a comprehensive securities firm. And in addition to that, on the retail side, of course, we do want to have customized channels and also more appropriate products that we can cater to. And in addition to that, on the trading side, we do want to create a stable foundation for trading. And on the IB business, we do think that we will try to focus our IB capabilities to gain a leading position. And also, we are going to look at the asset soundness and also the loan portfolio so that we can increase our portfolio. And on the DCM side and alternative asset side, that will be added on to increase the margins. So we are going to try to maximize the synergies at the group level as much as possible. And this is something that we are taking initiatives on. And so for the IB business, you talked about a capital increase. So at the end of last year, we actually did a KRW 500 billion capital increase already. So for the investment service business, right now, they do have a comprehensive securities license. So as a result of that, they are able to issue CPs and also other types of commercial paper. So through that business in itself, as a mid- to large-sized securities firm, we do think that it has its own funding capabilities. So over the mid- to long term, of course, there will be capital increases that will be required so that we can become to the size of a mid- to large-sized company. But as of now, we don't think that there will be any short-term requirements for any capital increases as of the current time. So again, we did do one in previously of around KRW 500 billion. And going forward, if there are more needs for capital increases, then we will try to do so.
Hong Sung Han: Next question will be by Woo Do-hyung from Yuanta Securities.
Woo Do-hyung: I have two questions. So with regard to the annual process for NIM and the trending, your prospects. And second has to do with the Budget Telecom service. What is the expected results on the plans that you have for the Budget Telecom service?
Hong Sung Han: Yes. Thank you very much for the question. Please bear with us for just a moment. Yes. With regard to NIM, in the first quarter, things was NIM 1.4%, increased by 4 bps Q-o-Q. And with the increase of core assets and funding costs have decreased, and that has had an impact on NIM. And all in all, managing risk assets and with our active asset rebalancing, we believe that there is a lot of room to spare for -- in the funding side. And we believe that, that actually covers our NIM front. And with the rate cut by 25 bps going forward, we believe that the rates will probably be on a downward trending. And if you look at the long rates, it has already been quite subdued and contracted. And based on our simulation, we believe that it will probably not be extremely lower than the simulation that we have for NIM. And in the second half, we will continue on with active asset rebalancing. So we believe that the burden or the stress with regard to funding would not be that significant. So we will be increasing, let's say, our core assets. And then if so, NIM would be 1.4% plus on an annual basis. And we -- even if the rate does go down, we'll do our best efforts to make sure that it's maintained at such level.
Unidentified Company Representative: Yes, I'm in charge of digital. With regard to the budget telecom service, we opened this last week. And with regard to the service, what we are pursuing is the following. So through our noncontact channels or our digital channels, it's about bringing new customers on board and making them financial customers. So it has to do with customer acquisition, especially for these telecom service customers, 60% are those in their 20s and 30s. And we believe that this will help us strengthen our customer pipeline there. And also amongst our existing customers, it's about increasing the activation of these existing customers. And in order to achieve these goals, as a strategy within when banking, the Budget Telecom service with this added on, we will have existing customers actually use this in a seamless fashion. And it's also about increasing the activation of existing customers. And also in terms of telecom and finance, there will be various bundled services that would provide differentiation. And starting from May, we will have savings deposits that link with telecom services, and we think that this will help us differentiate ourselves in the market. And as a bank, we do have the brand power and high level of security and the trust coming from our customers. And under reasonable prices, we do believe that there's a lot that we can actually provide to our customers.
Hong Sung Han: Yes. The next question will come from HSBC, Won Jaewoong.
Won Jaewoong: There are two questions that I would like to ask you. First is that you did your ERP recently. And going forward in terms of the ERP costs, is it something that you will continue to recognize in the first quarter? Would that be appropriate to assume? So that is something that I wanted to ask. And then second is that for the CET1 ratio management, I do think that you are very successful this year and the yearly target is 12.5%. But in some manners, you did say that you think that you would be able to be much over that. So right now, you're looking at an increase of around 4% to 5% in growth. But this year, this quarter, it was minus growth. So by the end of the year, even if we do have 4% to 5%, do you think that you will still be able to overshoot the 12.5% target? Or if the loan growth is higher, then do you think that 12.5% would be the level at where you would be? So how do you think things will develop going forward?
Hong Sung Han: Thank you for your question. And maybe if you give us some time. Well, first, on the ERP side, I think that it is something that we did recognize in the first quarter. And for the early retirement program, of course, we do need to take into consideration financial situations and also the discussions with the unions that we have to come to a conclusion. And at the end of the day, the decision was made in January. So that's why we reflected in Q1. And whether it will take place at the end of the year or the beginning of the year is not something that we would be able to determine as of now and finalize, but it would be dependent upon internal, external environments and also dependent upon the negotiations with the labor union. So that is how we will be able to finalize the timing. Secondly, if we look at the asset over growth going forward, I think that right now for our priority, it would be to reach the CET1 target of 12.5%. So to be above that is a top priority that we have. And therefore, around 4% to 5% asset growth is, of course, dependent upon exchange rate being very stable and also to be maybe managing it tightly more towards the first half of the year so that we would have maybe possible to have further growth in the second half of the year. However, if the current turbulence that we see in the FX rate continues, then we do think that for the full year, we might have to manage it at a more tighter level. So as a result of that, 4% to 5% asset growth is something that we want to maintain as our baseline so that we can reach the 12.5% for the CET1. This is, of course, CET1 would take priority. And if the exchange rate is more stable, then for growth, I think that we will put more emphasis on that in the second half of the year. Thank you. We have no further questions in the queue. And we do have also questions that came in via our website. So let me respond to that. Starting from this quarter, we have started receiving questions prior on our website. And through this earnings call, we did mention that we will respond to the frequently asked questions. So this was already announced. And there are basically questions with regard to 2 topics. One has to do with the acquisition of the insurance business, the progress of that. And the second is the CET1 ratio, the target of Woori Financial Group and how this is to be achieved. So with regard to these 2 topics, let me now respond. So the CFO, yes, you have the floor.
Lee Sung-Wook: So with the Tongyang and ABL acquisition, I did already mention this in the presentation. So we have submitted our approval application in January and the FSC is currently reviewing this proposal, and it's very difficult, therefore, to provide you with any information on the progress. So after the announcement by the FSC, we will actively communicate the progress with the market in a timely fashion. And with regard to CET1 ratio and how to achieve, I know that everybody is interested in this very topic and some of the information was already offered. But in 2025, our target for CET1 in 2025 is 12.5%. And the group is engaging in company-wide efforts to achieve this and through active asset rebalancing and by supporting businesses, increasing prime -- prime assets. And there are, of course, exchange rate sensitive assets such as currency assets, and we're actively managing this as well. And we have actually included in our KPI, RWA management indicators to manage this quarterly -- on a quarterly basis and an RWA system is in place so that all employees can have access so that we do have a balance between risk and return. And this balanced type of culture is what we are trying to achieve and disseminate. And based on these efforts, as was already mentioned, as of the end of April, our CET1 preemptive -- our preliminary CET1 ratio is at 12.42%, which is an increase of 30 bps, and we will continue on to manage our asset soundness, and we have the target to achieve 12.5% earlier than the schedule and be as faithful as we can in terms of shareholder return.
Hong Sung Han: Yes. Because there are no more questions, I would like to wrap up the Q&A session here. And with that, we would like to wrap up the Q&A session and also the conference call for Woori Financial Group's first quarter 2025. Thank you for your attendance, and thank you very much.